Company Representatives: Nitin Mhatre - President, Chief Executive Officer of Berkshire Hills Bancorp Subhadeep Basu - Chief Financial Officer Sean Gray - Chief Operating Officer Greg Lindenmuth - Chief Risk Officer Kevin Conn - Investor Relations, Corporate Development Officer
Operator: Good day and welcome to the Berkshire Hills Bancorp, Q2 Earnings Release Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Kevin Conn. Please go ahead.
Kevin Conn: Good morning and thank you for joining Berkshire Bank's second quarter earnings call. My name is Kevin Conn, Investor Relations and Corporate Development Officer.  Our news release is available on the Investor Relations section of our website www.berkshirebank.com and will be furnished to the SEC. Supplemental investor information is provided in an information presentation at our website at ir.berkshirebank.com, and we will refer to this in our remarks. Our remarks will include forward-looking statements and actual results could differ materially from those statements. For details, please see our earnings release and most recent SEC reports on Forms 10-K and 10-Q.  In addition, certain non-GAAP financial measures will be discussed in this conference call. References to non-GAAP measures are only provided to assist you in understanding our results and performance trends should not be relied on as financial measures of actual results or future projections. A comparison and reconciliation to GAAP measures is included in our news release. On the call today we have Nitin Mhatre, President and Chief Executive Officer of Berkshire Hills Bancorp; Subhadeep Basu, our Chief Financial Officer; and Sean Gray, our Chief Operating Officer and Greg Lindenmuth, our Chief Risk Officer.  At this time, I'll turn the call over to our CEO, Nitin Mhatre.
Nitin Mhatre: Thank you, Kevin, and good morning everyone and welcome to Berkshire's second quarter earnings call. We've been busy since our last earnings call. We held our Virtual Strategy Meeting on May 18 where we announced BEST, our Berkshire's Exciting Strategic Transformation. Details of this program and its projected impact is captured in the materials that remain available on our website and I'd encourage you to take a look.  In June we welcomed two new Board Members, Deborah Bailey and Misha Zaitzeff to their first board meeting and we've also been building our Berkshire team, which I'll address later in the call.  Let's turn to our earnings presentation, beginning on slide three. We had a strong quarter with solid financials, improved asset quality, continued capital deployment and the launch of our transformational BEST strategy as the key highlights of the quarter. In terms of financials, we had a good year-over-year trend across all key financial metrics that drove improved EPS and return on tangible common equity or ROTCE.  Adjusted EPS was $0.44, up $0.12 quarter-over-quarter and up $0.57 year-over-year. Revenue improved year-over-year and declined slightly from Q1. Net interest income was stable once again and fee revenue strengthened year-over-year. Increased consumer spending drove interchange fees higher, while strong gain on sale from higher SBA loan originations increased loan related fees.  Expenses were down across the board on both quarter-over-quarter and year-over-year basis. Lower compensation and lower professional services expenses drove much of the improvement. Subhadeep will share more details on this in a few minutes.  On credit, what a difference two quarters make. Asset quality has shown consistent improvement over past two quarters, with delinquencies, non-accruals, charge-offs, all down quarter-over-quarter driven by improving economic conditions and proactive loss mitigation programs. We are well reserved for credit and I'm grateful to our credit and portfolio management teams for their diligence and vigilance over the last six quarters under the pandemic's challenging circumstances.  On capital, we returned $26.8 million to shareholders in the second quarter, through share buybacks and dividends, representing about 124% of net income in the quarter. Our capital ratios remain strong relative to peers with CET1 at 14.3% of risk weighted assets at the quarter end.  Our balance sheets trend give us ample of capital to both opportunistically repurchase stock and to achieve our expected loan growth targets. And on strategy, we are grateful that about 700 investors, analysts, employees, community members and centers of influence attended our BEST strategy launch meeting on May 18. As we said then, our strategy will self-fund; that is, expensive saves will fund investments in bankers, technology and customer experience, which in turn will significantly enhance stakeholder value.  For example, our enhanced procurement strategy targets over $10 million in expense saves over three year BEST program timeline, in addition to real-estate rationalization cost saves. Later in the call I'll discuss how we are building back our loan originations engine, and we’ll provide data on early progress on our best programs performance target.  With that, I'll turn the call over to Subhadeep to discuss our financials in more detail. Subhadeep.
Subhadeep Basu: Thank you, Nitin. If you turn to slide four, I'd like to share our high level income statement with you. My comments will be on an adjusted numbers versus GAAP. Please see the appendix for a reconciliation of our GAAP and adjusted financials.  Our revenues were up 4% year-over-year as fee growth offset a modest decline in net interest income. Fees were up 36% year-on-year as commercial and consumer activity increased from their pandemic lows. Revenues were lower sequentially, driven by seasonally higher wealth management and insurance revenues in the first quarter. We also had a high swap fair value adjustment and high PPP referral fees in the first quarter.  Expenses were down 8% sequentially, driven by lower professional services, compensation and payroll tax expenses. We are very encouraged by our early progress on expense saves; however, I want to remind you that we will be investing in hiring bankers and investing in technology as part of the self-funding the BEST plan.  Our provision expense was zero this quarter, down from $6.5 million in the first quarter, reflecting an improving credit environment. Our return on tangible common equity was 8.1%, up 210 basis points versus the first quarter.  Turning to slide five, let me address changes in our earning assets. Earning assets were essentially flat on both a year-over-year and quarter-over-quarter basis. While the industry headwinds for loan growth are expected to persist in the short term, we are encouraged by the expansion of our team of bankers and the upward trend for deal activity.  Commercial real-estate was flat versus the first quarter and excluding PPP runoff our underlying average C&I loans were modestly down by 3%. Importantly, we are encouraged by recent loan origination volumes. Our loan originations for the second quarter of $310 million reflect a 63% and 33% improvement versus prior year and prior quarter respectively.  The growth in originations is also balanced and spread across our commercial and consumer portfolios. Loan yields were up 11 basis points quarter-over-quarter. For the CRA portfolio we recognized higher purchase loan accretion and C&I yields rose due to PPP forgiveness.  We ended the quarter with $173 million in PPP loans. These balances are expected to run off in the third quarter of 2021. To assist with your analysis, we have added a page in the appendix on PPP impacts to our balance sheet and P&L. We have $146 million in non-strategic indirect auto loans, which we expect to run off over the next eight quarters.  And you will recall, we are also selling eight mid-Atlantic branches in the third quarter, which had average second quarter loans of $269 million and average deposits of $517 million. We expect the transaction to close in the third quarter of 2021.  Our investment portfolio has grown 13% on a quarter-over-quarter basis. We continue to pursue investment options to enhance yield on the investment portfolio, while balancing liquidity needs for the BEST plan.  Slide six shows our average liabilities. We continue to manage down our funding costs by replacing higher cost funding with lower cost funding. Non-interest bearing deposits are up 19% year-over-year, higher cost brokered CDs and FHLB borrowings are down year-over-year 65% and 60%. Our cost of funds has dropped by 60% from 92 basis points in the second quarter of 2020 to 36 basis points in the second quarter of 2021. Our net interest margin has been stable at 262 basis points.  Slide seven provides more detail on our funding trends. With a growth of non-interest bearing, now money market and savings deposits, our lower cost deposits constitute 83% of our total deposit base. 84% of our customers CD's are expected to reprice in the next six quarters. The benefits of our CDs repricing downwards are reflected in our deposit costs for customers CD's, down 102 basis points on a year-over-year basis.  We have also paid down $0.5 billion in wholesale funding in the first half of 2021. We anticipate paying down approximately $300 million of additional whole sale funding in the second half of 2021.  Slide eight shows our fee revenues. We are encouraged that fee revenues are up 36% year-over-year as economic activity has recovered of pandemic lows. Deposit related fees, which include service charges on deposit accounts and card fees like interchange were up 40% year-over-year as consumer activity increased.  Our SBA lending business continues to exhibit strong momentum. Loan fees and revenue are up 30%, driven principally by higher gain on sale from SBA lending and higher swap fees.  Fees were down sequentially driven by seasonally higher first quarter wealth management and insurance fees. We also had high positive swap and MSR fair value adjustments and high PPP referral fees in the first quarter. On slide nine, we show our expenses. Adjusted expenses were down 8% quarter-over-quarter, primarily driven by lower professional services expenses, lower compensation expenses and lower occupancy expenses. On a year-over-year basis expenses were down 2%, driven primarily by lower headcount and lower PPP related expenses. Our head count was down 6% on a year-over-year basis. As discussed at a May 18 BEST launch, our goal is to self-fund our transformation efforts and we are very encouraged by the early progress we're making on that front.  Slide 10 is a summary of our asset quality metrics, significantly improved across the board. Loan modifications are down 94% year-over-year to $98 million or 1.4% of loans. Charge off are at $4.7 million down 50% versus first quarter. Total delinquencies including non-performing loans are at $66 million or 92 basis points of total loans, which is down 27% versus the first quarter. Both charge offs and delinquencies for the quarter are close to pre-pandemic levels.  Leading indicators also point to similar improvements in asset quality. The 30 to 89 day delinquency bucket has reduced 57% year-over-year from $35 million to $15 million. Improved credit quality, coupled with improved economic forecasts, resulted in zero provision expenses in the second quarter versus a 6.5 million provision in the first quarter.  Our allowance for credit losses is at 1.69% of total loans, excluding PPP loans. It should be noted that delinquencies net of charge off and ACL as the percentage of total loans are down, notwithstanding a decline in our loan balances.  Slide 11 further highlights significant improvements in our COVID sensitive segments, including hospitality, Firestone, restaurant and nursing assisted living loan books. COVID sensitive deferrals are down 88% year-over-year and 58% versus the first quarter. Criticized assets are down double digits versus the first quarter and non-accrual loans are down 4%.  The appendix includes two pages detailing trends for each of the four COVID sensitive portfolios. COVID deferrals for our restaurant and nursing, assisted living portfolios are down to zero and down 86% for Firestone and 38% for our hospitality portfolio. I'm happy to discuss with you further if you want to follow up with us.  Slide 12 shows detail on our capital and liquidity positions. As Nitin mentioned, we returned $26.8 million of capital or approximately 124% of second quarter 2021 net income to shareholders via stock repurchase and dividends. Our capital levels continue to remain very strong; the common equity Tier 1 capital ratio improved by 10 basis points versus first quarter; our second quarter ‘21 estimated CET1 ratio is at 14.3%.  We continue to execute on our share buyback program having already purchased 745,000 shares of the 2.5 million shares authorized by the board. As you can see from the quarterly CET1 walk, our estimated RWA’s also dropped due to change in asset mix moving to lower risk categories. In summary, this was an encouraging quarter and provides us momentum as we continue to execute on our transformation plan. We had revenue growth primarily driven by increased fee income, expense discipline drove down expenses and credit quality has significantly improved resulting in zero provision expenses. Capital levels are robust as we continue to return excess capital to shareholders. Our ROTCE was 8.1% and we grew our tangible book value per share to $22.66, which is up 3% versus second quarter of 2020.  Now, I would like to close with comments on our outlook. While we are upbeat about the vaccination trends in our footprint, and improved economic forecast, weaker loan demand trends seen in recent quarters are expected to persist. We expect NII to be lower for the rest of the year as PPP interest income declines and non-strategic loan books continue to run-off. We expect fee revenues to be stable throughout the second half of the year. We expect to meaningfully improve credit environment over time and that credit provision expenses trend towards pre-pandemic levels in 2022.  As we said last quarter, we expect to get to day 1 CECL results to loans in 2022. I caution that our credits can be lumpy, so we don't expect a straight line on provision expenses or charge-offs. We expect expenses for the rest of the year to be stable at about $70 million run rate. Our tax rate was higher this quarter and we expect our tax rate for the rest of 2021 to be in mid to high teens, and we expect our fully diluted share counts to be lowered.  With that, I’ll turn it back to Nitin for closing comments. Nitin. 
Nitin Mhatre : Thanks Subhadeep. As Subhadeep said, the pandemic and the macroeconomic factors have caused loan growth challenges for the industry and for Berkshire. In addition, while we expect that the decline in PPP balances, closing off mid-Atlantic transaction, and run-off of non-strategic books to occur in the second half of 2021, we feel confident that we will see modest growth in balances beginning in 2022 and we will strive to outperform market trends through our best plan initiatives.  We're adding to our loan originations muscle in three broad ways: First, we are successfully retaining our strong performers and hiring new bankers in both commercial and consumer banking. Second, we are partnering with correspondent lenders for Residential Mortgage Originations in our footprint; and third, we are partnering with fintech platforms to prudently increase relationship based lending to serve the needs of customers and prospects in our footprint.  On slide 13, we show how we're strengthening our team and winning new business. Our existing team of bankers have strong relationships with their customers and know their markets, communities, centers of influence and sponsors really well, and we have a very high banker and customer retention rate.  M&A activity in our markets and bankers seeking to work in a community dedicated institution has provided Berkshire a great opportunity to hire bankers from competitors, who share our passion for doing well by doing good for our customers and the communities that we operate in.  We've hired leading commercial bankers across our footprint in several key asset categories, including Ben Garcia, a Senior Asset Based lender from Wells Fargo in the Albany Market, Boston Business Banking team led by Scott Vickery from Webster, and Tim Kensky, a Senior Banker from Bank of America in Albany Commercial Lending Markets.  To fast track our optimization efforts outlining the best program, we also hired Mark Mylan [ph] was one of the top procurement experts in the country and is 100% focused on managing our 1,500 plus vendors more efficiently and build effective strategic sourcing program for us.  Our bankers are energized by a focus on organic growth and we are winning new customers and new deals from our competitors. We have shared some examples here to highlight that we're winning significant relationships across our banker footprint, especially in commercial and business banking. A combination of these initiatives have created market momentum that drove second quarter originations 63% higher year-over-year and 33% higher quarter-over-quarter. On side 14, we show our early progress against our best performance targets across our five key metrics. ROTCE, ROA and PPNR are up smartly compared to the baseline of full year 2020 performance and will be tracked on an ongoing basis to ensure that these key metrics continue to track towards our best program goals.  For second quarter, the financial metrics of ROTCE, ROA and PPNR are moving in the right direction, reflecting 8.1% and 70 basis points on adjusted basis for ROTCE and ROA respectively and annualized second quarter PPNR is at $116 million, up by over 6% from the baseline full year 20 PPNR.  We are also making progress on harder to measure, but equally important ESG and NPS scores. Our blended ESG score rose 10 points versus last year to take us to 29th percentile and our net promoter score puts us at about 58th percentile amongst the banks operating in New England. Below some terrific smaller competitors, but well ahead of some large household named banks. We will continue to provide regular updates on progress on the BEST program.  In summary, a solid quarter across many fronts. Stable net interest income, strong commercial loan originations and stable balances, good fee momentum, good expense control, improving credit profile, and we are well into our share repurchase program. Our BEST program will build further momentum into 2022.  With that, I'll turn it over to the operator for questions. Operator?
Operator: [Operator Instructions]. The first question comes from Mark Fitzgibbon with Sandler O'Neill. Please go ahead. 
Mark Fitzgibbon: Guys, good morning. First off, congratulations on a good quarter. Wanted to just follow up, Subhadeep you mentioned that the New Jersey branch sale will happen in the third quarter. Can you give us a better sense for when in the third quarter that's likely to happen? 
Subhadeep Basu : Hi Mark! Good to hear from you. Hope all is well. You know at this point, the guidance that we're going to give is it is going to close in third quarter. Till the deal is finalized and signed, you know we can’t give out further details on potential dates. 
Mark Fitzgibbon: Okay. And then secondly, I think you mentioned in your outlook comments that you expect operating expenses to be sort of stable in the $70 million range, but assuming you were to get – you know sell those branches sometime early or mid-third quarter, shouldn't operating costs come down by a decent amount, wouldn't that $70 million kind of be high?
Subhadeep Basu : Sure Mark. So, on that $70 million guidance, that’s the net number from a sort of total operating expense perspective. Remember there are in’s and out’s of that number, so sort of just to highlight that, you know there are sort of expense saves that will reduce that number. But on the other front we are going to invest as we said for sort of BEST plan really hiring bankers and technology. And the third will be sort of the branch expenses that will be coming in on a run rate basis. That you will see not only for the rest of the year, but coming in 2022 as well. 
Mark Fitzgibbon: Okay, thank you. And then I wondered if you could share with us. I know you said that there's industry pressures on loan demand, but could you share with us the size of your pipelines today? 
Nitin Mhatre : I’ll take that Mark. What we could say is, we clearly had a strong originations quarter. I think our originations were highest in last five quarters and so is our pipeline, and I think that gives us the momentum getting into third and fourth quarter, and that will continue to grow as we continue to hire new bankers and build out more teams in commercial and small business while we are ramping up our partnerships with the consumer side of the equation.  So I think the short answer would be not just the origination were at the highest point this quarter, but so was the pipeline across commercial and consumer. 
Mark Fitzgibbon: Okay, and then Nitin, just sort of a more strategic question. As you look at the, you know your fee based businesses like wealth management and insurance and mortgage, are there any candidates for dramatic new investments or growth or any of those potential sale candidates? I guess I'm just curious, because you've talked a lot about growing the lending businesses, but hadn't heard much on the fees side. 
Nitin Mhatre : So great question Mark, and you know this very well. Fee is obviously you know a highly capital efficient stream of revenue. It also is challenging in the times that we are in. We are looking at all opportunities to grow fee revenues from the components of the businesses that we have. We are investing heavily into our SBA loan originations unit that create significant amount of gain on sale and fee revenue and that’s accretive for both income, as well as return on capital.  We are looking at some components where there might be opportunities to rationalize some of the operations which are not as efficient as the other businesses are. So I think the short answer would be, yes, we want to grow fee revenue. We are looking to invest into fee income opportunities coming from 44 BC, which is our SBA arm, wealth management and mortgage and consumer operations, while looking at opportunities to rationalize some of the businesses. 
Mark Fitzgibbon: Thank you. 
Operator: The next question comes from Laurie Hunsicker with Compass Point. Please go ahead.
Laurie Hunsicker: Yeah, hey! Good morning.
A - Nitin Mhatre: Good morning Laurie.
A - Subhadeep Basu: Good morning.
Laurie Hunsicker: I just wonder if we could go back to expenses, because I'm also trying to understand this too. In other words if I'm looking at the ISPC sale as coming out, then your quarterly run rate is dropping closer to call it $65.5 million, $66 million a quarter. Are you then suggesting that the delta difference there, that's going to be hiring people, technology spend, etc. to take you to $70 million. Is that the right way to be thinking about this?
Subhadeep Basu: Hi Laurie, good to hear from you, Subhadeep. So I think you know as I sort of answered the prior question, the call before, so you know as we said we are going to get expense saves from our branch sales, but we are going to be investing that amount into – you know part of that into our BEST plan and there are several in’s and out’s. In terms of you know expenses you know there are I think expense saves that are coming in, optimization on sort of real estate and other things that are coming in that will drive that number down, but at the end of the day that $70 million is sort of a balanced impact of all those different categories. 
Laurie Hunsicker: Okay, okay, great. And then also just to confirm, you're going to be running with a branch count in the neighborhood of 106 or 107 or so, is that correct?
Subhadeep Basu: Yeah Laurie, I’ll ask Sean to address that question. 
Sean Gray : Sure. You know in just adding to the expense run rate discussion, we’ve consolidated 15 of our planned 16 branches. The sixteenth is scheduled for late October. Deposit retention has been exceeding expectation, the budget is on target. And when we launched BEST we talked about an additional 5% to 10% of our branch count being reduced throughout the end of the year and into next year.  So we feel for an experienced prudent consolidator, we’ve got a good strong history of customer deposit retention, so we will continue to execute on that 5% to 10%, eight to 10 branches or from starting now those plans have begun moving into the first half of next year. 
Laurie Hunsicker: Okay, great. And so then as we look to next year, that's potentially another five to 10 branches that you may close, is that correct?
Sean Gray : That is correct.
Laurie Hunsicker: Okay, okay, making sure on that, okay.
A - Nitin Mhatre: Hey Laurie, just to add a little flavor on what Sean just highlighted, I think what's been remarkable, just looking at this and even me coming in six months and looking at the history of consolidations that we've done, whereas Sean highlighted we’ve retained our customers, retained the deposits. But we've also done a remarkable job of retaining bankers through managing through attrition, which has been the strength of this organization, I just wanted to highlight that. 
Laurie Hunsicker: Okay, great, that's helpful. And then credit, to your point improved a lot that's quarter. It looks very, very, strong. You had mentioned Subhadeep in I guess you're prepared comments that pre pandemic levels in terms of provisioning won’t return until 2022. So we’re thinking for the back half of 2021 you're going to see very nominal loan loss provisioning almost like this quarter or how should we be thinking about that? I mean you're reserve to loans ex-PPP is sitting at 169. Any color on where you want that target to be?
Subhadeep Basu: Hi Laurie! Sure. So look, at this point you know based on where we think our portfolio is looking at sort of in the improved economic forecasts where it's going, you know that's basically what you saw as our zero provision expenses. You know as we highlighted in the first quarter, we feel really good in terms of the direction, the strategic direction from a credit quality perspective our portfolio is going, and we believe that momentum is going to continue. So you know as that momentum continues, you're going to see similar trends in provision expenses for the rest of the year and going forward, and I want to emphasize that you know with sub strengths continue, we expect to return to pre-pandemic levels of ACL to loan loss reserves. 
Laurie Hunsicker: Okay, okay, and then just in terms of that target that was there for loan to target with, what’s a good number? How do you think about that?
Subhadeep Basu: So you know again, it depends on sort of our, you know the portfolios and you know in part of the BEST plan you know we have, we’re growing our commercial business, we’re growing our consumer business. You know if you sort of pick that out, you know ballpark if you look at our book of business, commercial book of business and consumer mix that we have currently, it’s between 90 to 100 basis points. 
Laurie Hunsicker: Okay, okay, that’s helpful. Okay and then in terms of you had – you said in here your adding new tax credit investments, which obviously will appear in the back half of 2021 and you gave us the tax rate guide, but I just wonder, I know you sometimes in the past have taken a charge in the fee income, that sort of tax advantage commercial project investment which was a bit of a drag. Are we going to expect to see that up-tick or how should we be thinking about that line? 
A - Nitin Mhatre: Yeah, and as we know you know tax credits can be lumpy, so – and we go through sort of a very well thought out process in terms of how we do that. So yeah, first two quarters you didn’t see the benefits of that from you know an effective tax rate perspective, but in subsequent quarters as I provided in my guidance, we are going to see the down-tick in the effective tax rate. 
Laurie Hunsicker: Okay, okay, but so in terms of the drag, in terms of charge through non-interest income, I mean could we go back to where we're seeing at a $3.5 million, $4 million annual run rate through that line or how should we be thinking about that?
Subhadeep Basu: So I think you know, given sort of the first two quarters, you know we at this point I think you know I’ll provide some of the guidance on the effective tax rate, which I said in the mid to high teens, and then Laurie we can discuss in more detail when we talk later about you know the additional question that you have. 
Laurie Hunsicker: Okay, okay, perfect, that’s helpful. And then just two more questions; just looking at this FX table, there just wasn't a ton of sort of broken out details. The PPP income that was in the net interest income number, in the $75 million, what was that number?
Subhadeep Basu: So I think you know the last page and take a look at it Laurie when you have a chance. Page 20, slide 20 of the earnings presentation has the detailed you know PPP impact by quarter. So to answer your question, the interest income impact was $5.1 million for PPP for the second quarter.
Laurie Hunsicker: Oh! I see it. You know what, I see it right in here, got it, okay. And then the same thing on accretion income. It looked like the – it looked like it was rounded to $2 million. I was just looking in your press release, which is a big number. Just wondered, do you have an exact number as to what that was, the accretion income included in that interest income?
Subhadeep Basu: Yeah, we can talk after all those details when we speak later Laurie. 
Laurie Hunsicker: Okay, got that. I'll leave it there, thank you.
Subhadeep Basu: Thank you.
Nitin Mhatre: Thanks Laurie. 
Operator: The next question comes from Jake Civiello with Janney. Please go ahead.
Jake Civiello: Hey, good morning guys. 
A - Nitin Mhatre: Good morning Jake.
Subhadeep Basu: Good morning.
Jake Civiello: I know you alluded to NIM pressure in the second half of the year. If you think about your net interest income dollars, 2Q was really the first quarter in a couple of years where you actually saw net interest income move higher. If you can continue to grow your net interest income despite the NIM pressure. 
Subhadeep Basu: Sorry Jake, can you repeat the last part of the question?
Jake Civiello: Yes, so do you think you can continue to grow your net interest income dollars despite the margin pressure that you alluded to in the back half of 2021?
Subhadeep Basu: I think you know and this goes back also Jake to the discussion we had as part of the BEST plan. So you know as we said, this year our balance sheet is going to be sort of modestly sort of flat, flat to medium marginally down for the rest of the year, but that represents sort of the, you know the impact of PPP loans running off and you know other run off of non-strategic portfolios.  You know having said that, we are really getting sort of spending sort of the next half of the year preparing for ramping up the balance sheet growth. In terms of a NIM perspective, I think as you know obviously there are pressures in the market, but we expect sort of NII to be sort of down, modestly down for the rest of the year. 
Jake Civiello: Okay, great, thanks. The only other question I have is, so you anticipate that you'll continue to grow the investment securities portfolio as you have the past several quarters or does the shift in the interest rate environment here over the last few weeks kind of changed your thinking on that?
A - Subhadeep Basu: No, I think you know if you look at our investment portfolio it has grown and grown over the last you know few quarters, including this quarter. You know in terms of that liquidity that you have, your you know looking to sort of obviously best deployed it in terms of (a) making sure that we enhance the investment portfolio yield, so you're going to probably see some more deployments into securities. At the same time we want to make sure that we are adequately sort of prepared and planned for – to deploy that for the best plan related strategic growth. So to answer your question, yes, you can see some deployments into securities. Jake?
Jake Civiello: No, that’s great. Thanks guys. That’s all I have.
Nitin Mhatre: Thanks Jake.
Subhadeep Basu: Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Nitin Mhatre for any closing remarks.
Nitin Mhatre: Thank you all for joining us today on our call and for your interest in Berkshire. Have a great day and be well.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.